Operator: Welcome to the Washington Real Estate Investment Trust First Quarter 2015 Earnings Conference Call. As a reminder, today's call is being recorded. Before turning over the call to the company's President and Chief Executive Officer, Paul McDermott, Tejal Engman, Director of Investor Relations will provide some introductory information. Ms. Engman, please go ahead.
Tejal Engman: Thank you, and good morning, everyone. I am Tejal Engman, Washington REIT's new Director of Investor Relations and it is a pleasure to be here. After the market closed yesterday, we issued our earnings press release. If there is anyone on the call who would like a copy of the release, please contact me at 222-774-3253 or you may access the document from our website at www.writ.com. Our conference call today will contain financial measures such as core FFO and NOI that are non-GAAP measures as defined in Reg G. Please refer to the definitions found in our most recent financial supplement. The per share information being discussed on today’s call is reported on a fully diluted share basis. Please bear in mind that certain statements during this call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially. We provide a detailed discussion of these risks from time to time in our filings with the SEC. Please refer to pages 8 to 22 of our Form 10-K for a complete Risk Factor disclosure. Participating in today's call with me will be Paul McDermott, President and Chief Executive Officer; Steve Riffee, Executive Vice President and Chief Financial Officer; Tom Bakke, Executive Vice President and Chief Operating Officer; Laura Franklin, Executive Vice President and Chief Accounting and Administrative Officer; and Kelly Shiflett, Director of Finance. Now, I'd like to turn the call over to Paul.
Paul McDermott: Thank you Tejal, and good morning everyone. Thanks for joining us on our first quarter 2015 earnings conference call. Overall, Washington REIT made steady progress on our strategic plan in the first quarter. To recap, we ended last year by substantially reducing the rollover risk in our portfolio with the successful renewal of the World Bank and Booz Allen leases. Moving on to this quarter, we delivered core FFO of $0.38 per share thereby achieving year-over-year core FFO growth of 5.6% and same-store cash NOI growth of 7.2%. The first quarter was impacted by a second consecutive winter of record levels of snow in the DC area where unusually large number of adverse weather incidents led to significantly higher than expected expenses. That said, our operations remain on track and we are working hard to continue to outperform within each of our submarkets. Now, I would like to begin with a reiteration of our disciplined approach to originating opportunities that creates value for our shareholders followed by a discussion of our quarterly operations and leasing progress within the context of the broader market. We continue to strategically reposition our office and multifamily portfolios towards higher quality assets in urban infill locations with strong transportation lengths and our retail portfolio towards higher quality assets and strong neighborhood centers with attractive demographics. As I have emphasized on prior calls, in executing our strategy, we use value creation as our key criteria. Legacy assets that have recent inflexion points are earmarked for recycling and consequently prepared for sale. The existing assets with the potential to grow NOI as well as acquisition targets are evaluated by the potential to add compelling value. In office, value may be created by taking on resale [ph] risk that leveraged buyers will not pursue. In multifamily, value creation might involve growing NOI through renovation. And in resale it may include expanding rentable space as planned for in our recent acquisition of the Spring Valley Retail Center. All opportunities are originated in conjunction with our in-house research platform that proactively identifies profitable market niches where Washington REIT is best positioned to create value. While the Washington metro landscape remained challenging and on the surface appeared to lack opportunities, our research is able to examine that beyond the submarket level and provide a granularity required to uncover value creation potentials. It is these in-depth micro analyses that enables us to proactively pursue deals often before they come to the market and that shapes all of our portfolio repositioning decisions. Three assets where we were currently working hard to create value for our shareholders are the Silverline Center in Tysons, the Maxwell in Arlington and 1775 Eye Street in the Central Business District. After the redevelopment, we expect the Silverline Center to achieve rental rate and NOI increases and contribute $0.14 to $0.16 of annualized NOI per share when stabilized. The Maxwell development project is expected to contribute annualized NOI of $0.04 to $0.05 per share when stabilized. 1775 Eye Street is an asset where we are currently 75% leased from 62% leased when acquired last year and where we expect to reach a stabilized state by next year following an extensive renovation of the property. With regards to future value creation opportunities we will always use the best and most appropriate sources of capital available to us at the time. Presently we see the recycling of assets not only as one of our top sources of capital, but also a way to meet our strategic goal of improving the quality of our portfolio while taking advantage of the climate that enables us to opportunistically transfer risk. The best candidates for recycling are legacy assets that lack the continued income growth potential we seek and maximize their value for shareholders. Our March 20, sale of Country Club Towers exemplifies our first to asset recycling. This flat fee 227-unit high-rise in Arlington had been in our portfolio since 1969 and have recent inflexion points where we had to choose between investing substantial or additional CapEx on the property with selling it. We chose to do the latter because we felt that our ability to create additional value from this asset was limited. We received multiple offers for Country Club Towers and sold it for $37.8 million. We were able to structure the sale as reverse-1031 in connection with the Spring Valley Retail Center acquisition. The strong market reception for Country Club Towers has increased our confidence in our ability to further recycle our legacy portfolio and dispossessions remain an important cornerstone of our strategy. Turning to acquisitions, in the current market a good acquisition strategy is as much about what you don’t do as what you do. As mentioned, our criteria for acquisitions is value creation. As a result this year we have all ready evaluated and passed on several deals due to pricing. That said, we will continue to pursue certain opportunities that align with our plan for strategic growth. Now, I would like to address the performance of our three asset classes within the context of the overall DC market. In the office market we saw some improved activity levels in both the districts and in the suburbs, but elevated vacancy growths across most submarkets have reinforced the longstanding high degree of competition in the marketplace. We continue to see a divergence in the performance of quality, urban infill, metro-centric assets versus commodity price as tenants continue to see quality of office assets in urban locations that are metro served and offer walkable [ph] amenities. Although our portfolio continues to outperform most submarkets we still see pressures in our effective rents from large concession packages and much of the activity is from forward leasing for large expiration of 18 to 24 months out. This remains especially true in the districts. Our strategy is to compete aggressively for deals in our projects undergoing resells such as the Silverline Center and 1775 Eye Street. We maintain a relentless focus on tenant retention and the ability to strategically push rents higher when appropriate to do so. Overall employment in DC remained strong and has led to improved consumer confidence while providing stronger foot traffic and strong sales for retailers in the area. Our retail portfolio continues to perform steadily benefiting from the strong demographics in this region. Our ability to push rents higher on renewals has improved as the climate for retailers improves. Additionally, we have been able to upgrade the credit quality and the overall tenant mix in several of our centers over the past few quarters. Our multifamily portfolio continues to be impacted by supply pressures from record setting deliveries in the area. Thanks to recent trends favoring renting versus owning, absorption levels have been equally strong, but the ability to increase rents has been limited due to the overall competitiveness of the market. This has impacted minimal rents in the first quarter in several assets where we have to compete with new supply, primarily in the Mount Vernon and Shaw submarkets. Overall our portfolio has reached a degree of stabilization across the board with the exception of development and redevelopment assets that are in various stages of resell. As stated previously, our focus is on tenant retention and improving operating margins while driving rents higher where possible. This along with the pursuit of new value creation opportunities will continue to be our priorities for the remainder of 2015. Now I'd like to turn the call over to Steve to discuss our financial and operating performance.
Stephen Riffee: Thanks, Paul and good morning everyone. First quarter core FFO per share increased 5.6% to $0.38 compared to $0.36 per share in the first quarter of 2014. Same-store cash NOI increased 7.2% over the prior year. Same-store cash rents increased 120 basis points year-over-year and the same-store physical occupancy was 92.9% at the end of the quarter. Core funds available for distribution or FAD, was $0.33 per share. For the full year we expect that we will cover our dividends with FAD. Our first quarter core FFO $0.38 per share was impacted by heavier than anticipated seasonal calendar related to higher show removal and utility costs as well as a decrease in straightline revenues a result of reselling a few leases including the build out lease in [indiscernible]. This lease is renewed at the end of the year and significant reduced leasing risk in our office portfolio. In addition, in the first quarter we also absorbed a penny a share of higher real estate access, primarily in DC. By way of background, we anticipate seasonality in the first quarter, and expenses are customarily higher during the winter months. Snow incidences this year however were higher than expected and disproportionally impacted several big box retail centers where our expense recovery rates are the lowest. The net impact of this lowered our core FFO more than $0.1 per share for the quarter. Seasonality in our portfolio was also driven by the multifamily division which typically experiences slower leasing demand and a weaker rental rates in the first quarter relative to the remainder of the year. Going forward we expect to see seasonal strength in the multifamily portfolio drive core FFO per share higher in the second and third quarters. Maxwell is expected to increase leasing in the non-same-store multifamily portfolio. The Silverline Center will benefit our non-same-store office portfolio as these leases are up. As I mentioned, same-store cash NOI grew 7.2% year-over-year driven by offices to 9.3% and retail 7.1% stronger year-over-year same-store growth. Multifamily cash NOI grew 1.5% year-over-year. In the office edition same-store physical occupancy grew 430 basis points over the past year, but declined 90 basis points in the last quarter with our own move out of the 6110 Executive Boulevard offices having the largest negative impact on same-store occupancy relative to year end. The same-store pool is approximately 92.5% leased and 91.2% occupied. Overall office occupancy has improved by 300 basis points year-over-year and stands at 86.7%. Regionally our same-store Washington DC office portfolio is outperforming in the submarket with a vacancy rate of around 3% versus the submarket at 11%. Our office portfolio is also outperforming in suburban Maryland and Northern Virginia where our same-store vacancy rates are 6% and 10% below the vacancies in those markets. Office leasing for the quarter totaled approximately 196,000 square feet with 61,000 square feet driven by new leases in the quarter. For renewals we have experienced a 7.7% improvement in GAAP and a modest 2.2% roll down in cash rent spreads and continue to see double digit growth in GAAP rents and modestly negative cash spreads for new leases. Retail same-store cash NOI increased 7.1% year-over-year and occupancy improved by 110 basis points. We leased approximately 122,000 square feet in our retail portfolio. We have approached stabilization in retail which is currently 94.7% occupied and on a same-store and overall basis retail GAAP rent increases were 27% for new leases and 5.7% for renewals. Cash spreads were positive double digits for new leases and flat to slightly negative for renewals. Multifamily same-store cash NOI was up 1.5% year-over-year and occupancy gains over the prior year more than offset higher weather related expenses and the quarterly rent roll downs that we typically see in this division in the first quarter. Multifamily same-store occupancy improved 160 basis points year-over-year and stands at 94.1%. Overall occupancy is at 89.5%. Turning to the non-same-store portfolio, our most significant opportunities to grow NOI through lease-up remained the Silverline Center and the Maxwell. These represents clear examples where we will create value through redevelopment and development and demonstrate our ability to execute our strategy. The Silverline redevelopment was substantially completed this quarter and we are already seeing healthy leasing momentum for this newly positioned as a Class A office property. With 50,000 square feet and newly leases signed for this redevelopment we are on track for lease-up in 2016. The Maxwell a new Class A 163-unit multifamily development located within walking distance at the Ballston Metro in Arlington is 30% leased and expected to stabilize by year end. Now, turning to guidance, while our first quarter results were approximately $0.02 below our expectations, largely due to higher than expected seasonal costs, we reaffirm our full year core FFO guidance range of $1.66 to $1.74 per share. Previously although we provided guidance for acquisition volume, due to the assumed timing of those acquisitions over the latter part of the year and the corresponding model capital costs they do not have significant impact on our initial guidance range. As Paul said, we will continue to pursue value-add opportunities and match them with the best sources of capital. Recycling of assets will continue to be an important source of capital and they too will improve the quality of the portfolio as we demonstrated through our sale of Country Club Towers this quarter. Our current models assume that a lower level of acquisitions is completed this year and if they could be funded with proceeds from recycling legacy assets and long-term debt. Overall same-store growth assumptions now range between negative 1.5% to positive 2% which is unchanged at the top end but is modestly lower at the bottom end to account for some of the weather related headwinds that we faced in the first quarter. Finally I’d like to discuss our likely upcoming capital plans. I’ve spend a large part of my first weeks assessing and planning for ongoing for capital lease. As a result we will be renewing, extending and updating our current facilities and liquidity arrangements and expect to improve pricing and expand terms as current market conditions should allow. Considering stock prices, we have no immediate plans to issue equity. However, because our existing ATM program is about to expire we are likely to establish a renewed program for possible future use when it would be at an appropriate source of capital. In May we plan to repay our maturing $150 million 5.35% bonds by initially drawing on our credit facility and then plan to term that out in subsequent quarters as we build a use of proceeds to support and index eligible bonds offering. We will work to continue to strengthen the balance sheet over time and maintain access to all sources of capital. And with that, I will now turn the call back over to Paul.
Paul McDermott: Thank you, Steve. To conclude, our unwavering focus on value creation will demonstrate that in spite of a challenging market we continue to originate opportunities that drive internal and external growth through the financially disciplined and research driven process. If anything, the competitiveness of market has honed our ability to capitalize on untapped value in our assets. The Silverline redevelopment and repositioning for example has enabled us to achieve rents in the 30 per foot versus the high 20 per foot prior to the redevelopment. Thus achieving a 9% return on cost. Our existing portfolio offers other money opportunities that we are currently in the process of evaluating. When it comes to acquisitions, our focus remains on value accretion, which will typically lead us to deals that leveraged buyers find difficult to underwrite. As always we remain committed to bypass fields where we don't see the scope to add compelling value. Furthermore, the positive market reception we received on Country Club Towers has increased the internal focus to recycle certain legacy assets as their sale provides both a currently attractive source of capital for our growth as well as a means to improve the quality of our portfolio. Our performance in the first quarter reflects strong year-over-year improvement across our operations. We are working hard to grow earnings with a steady focus on the efficient leasing of Silverline Center, of Maxwell, and 1775 Eye Street as well as the continued successful execution of our strategic plan. Finally, I would like to mention that for the first time in the history of Washington REIT we have appointed a dedicated resource for Investor Relations with the goal of better serving the needs of our existing shareholders as well as sell side analysts and extending our reach to a broader base of rededicated institutional investors. Tejal Engman [ph] joins us from the sell side where she was a Vice President of the Institutional Equities division at Deutsche Bank. Now, we would like to open the call to answer your questions.
Operator: Thank you [Operator Instructions] Our first question today is coming from the line of Michael Lewis with SunTrust. Your line is now open. You may proceed with your question.
Michael Lewis: Thank you. I was wondering if you could just elaborate a little bit on what you’re looking for in terms of acquisitions in terms of property type location and what the deals on those opportunities might look like?
Paul McDermott: Sure Michael. In terms of what property types we are looking at, we’re really looking at all three property types right now. I think that the most compelling case is right now our value added opportunities that we mentioned in our narrative, specifically I think in the office sector we have certain submarkets we’ve identified that we're willing to take on specific leasing risk such as the risk that we took on when we acquired 1775 Eye Street, and the multifamily sector we still like the renovation program that we have successfully proven worth over the past 18 to 24 months. I think our average return on cost has been somewhere between 8% to 12% on renovated units. And in the retail sector some submarket by submarket we like now such as the Spring Valley Retail Center where there is an opportunity to add additional FAR and increase our NOI. We’re obviously turning to exceed our cost to capital going in cap rates for all three of those assets will vary depending on the current occupancy levels or the current level of CapEx need that we expect to put in over the duration period.
Michael Lewis: Thanks and then just a quick balance sheet question, you mentioned how you’re going to handle the $150 million of maturities this year, not to get too far ahead of myself, but there is about 160 million of secured due next year and I was just wondering if you think you may reify that and maybe for proceeds or if maybe you would wrap that into a bond offering later on?
Stephen Riffee: Michael this is Steve, one of the things I have done that’s even longer term is to evaluate few of the capital assumptions and also been working on things that I immediately have to address. I think there’s a tremendous opportunity for us over the next three years starting with this year to term out that, which I think is the right thing to do. I think that what’s coming up after this year is the $160 million and then something similar the following year, most of that is secured debt. So I think I see an opportunity for that to be the foundation of three years in a row possibly of index eligible bond, increasing liquidity for our bond holders in the market, I think pushing our debt out in a very healthy way and also improving our unencumbered ratios now in company. So I think that plus growth in each of the years out will probably get us to index eligible bond offerings.
Michael Lewis: Thank you.
Operator: Thank you. Our next question is coming from the line of Brendan Maiorana. Your line is now open. You may proceed with your question.
Brendan Maiorana: Thanks, good morning. So Steve, just I just sort of wanted to understand a little bit more in terms of the balance sheet outlook and as you mentioned payoff the $150 million upon maturity in May you wanted to index eligible, but based on kind of it sounds like acquisitions are likely to be funded from dispositions. I think you've got $40 million or so of cash on the balance sheet, there’s not too much more spend left at the over line. What would be the other uses of capital that gets you up where you need to, you would be able to do an index eligible bond later this year?
Stephen Riffee: Well let me go ahead and address that part of our guidance, because we love pretty much everything in place, the few pieces that I spoke to earlier that we changed all the acquisition guidance and the funding of it. And then just to recognize the impact in the first quarter we took the low end of the same-store we happen to have 50 basis points so about the high and the same. So dealing with the moving capital related to acquisitions, we're saying that what we're going to be about half of what we had previously guided before on the last call. It will be time so that it will, it is likely to occur in the second half of the year. And we’re expecting to fund it with a combination of recycling assets and enough long-term debt to round out other index eligible bond offering. So, after the sale of the line in many I mean the bonds with the line and they will be ahead about $180 million outstanding on our credit facilities. So as I'm telling you that I would expect about $70 million of that acquisition to be refunded with enough debt to fill out an index eligible bond offering. And I’m currently modeling various ways that we have proceeds from other dispositions will be the correct way to fund the acquisitions that we think we have pretty good visibility at the levels that we projected in the second half of the year.
Brendan Maiorana: Okay, so if I think about that from a broad stroke perspective in terms of the progression during the year it sounds like and maybe you guys would do an offering a bond offering late in the year. And if you picked up $150 million of moving from the maturity of the unsecured to the credit facility for six months or two quarters or so it’s probably about $0.04 kind of for the year and then you had some seasonally slow quarter of retail and multifamily this quarter. So that helps as you go throughout the year. It sounds like from a leasing perspective, there’s probably not a whole lot of upside baked into this year's numbers that Silverline or 1775 Eye is that a fair way to think about it?
Stephen Riffee: You commented on a lot of things let me see if I can dissect there are the great pieces if I missed something, remind me, okay? You are probably right that I’m assuming that I want to be exact on timing, but when the bonds offering is, but you are right that there will be an interest of it for the short time that the funding of the first bond maturity relative to when it could be turned down in the bond market. So you’re probably a longer timeframe that I’m thinking in terms of that, but if it were to go that long I think you’re pretty close to what it could be. With regard to you asked about Silverline and the Maxwell. We did not change the guidance for Silverline, so we’re still expecting $0.06 to $0.08 contributions in the Silverline NOIs this year. And I’m not ready to give guidance for 2016, but we are saying it’s stabilized in 2015. So the numbers that Paul gave you are one stabilized, so we’ll be building up in 2016 also we've pulled the lease up on the Silverline. And I think you touched on the Maxwell. We didn’t change the guidance there. We expect it to have 2 to 3% impact this year and we’re protecting we think stabilization as we approach the end of the year. Did I cover everything you asked?
Brendan Maiorana: Yes, that’s great, thanks. And then just last one probably for Paul, so Advisory Board you mentioned a few different times in press articles and the like, is there any update you can give us in terms of your discussions with them, I know their expiration is several years now, but if there is any update that might be helpful?
Paul McDermott: Sure Brendan, so we continue to have a fairly actionable dialogue with the Advisory Board. I think everybody knows that they went out to the market with an RFP, I think that people need to first take a step back and ask when the lease expires, the lease expires in 2019 and that, they can look at lot of options but the bottom line is there is a rental obligation in place for the next four years. Secondly, the difference between the top bidder per Washington DC intelligence and we would probably be the low cost provider since we have it in place and we have outlined and detailed the renovation plan for them. I think the MPD on that, the numbers that I’m hearing is $300 million which have a sitting CEO, I think that’s a pretty eye-popping number in terms of OpEx. I think that new development versus existing products, I think that they would like to may be do something like Fannie Mae did, but the number probably has to be compelling enough because we have been pretty aggressive in our response to their RFP and I think that you’re basically looking at a scenario as-is versus new developments. The Advisory Board has not made any decisions yet. I think their target is the back half of ‘16 to try to come to a conclusion and then though progress into negotiations. We still feel like we had a good opportunity as a low cost provider that has relationship with them and that, we still have some other opportunities to negotiate with them, but no decisions have been made by the Advisory Board, whatsoever, anything to that point that you’re hearing is 100% speculation on the advisory community. I heard that rumor coming around two weeks ago after a tour that took place in Washington and the brokers that was on that bus that was 100% speculation on his part.
Brendan Maiorana: Okay, that’s great and I know its 19 or more than four years away, but just rough sense if were rents in that buildings relative to market and TI package is this something where, if there is a renewal or new tenant that goes in are rents likely to move down in any meaningful way with the big TI package or is it roughly in line with market?
Thomas Bakke: Brendan, this is Tom. The answer to that question, I think rents today for that kind of product type are going to be depending on the concession package they're going to be around 50 bucks, new development of course, 70 or higher and on a gross basis and many, and you try to look forward what does that look like in '19 because I think the developer is going to try to least price it somewhere between now and an estimate in '19. So you can see that just with some basic growth assumptions that there’s still a pretty large delta. We made a compelling offer to not only just renew at a low sort of really strip down rate, but also at a – with a big renovation on top of that, so we gave them a couple of options. I think they are intrigued with both. That being said its clearly in the process with them and I think we’re going to continued to have fairly active dialogue trying to make a deal with.
Brendan Maiorana: Great, alright, thanks for the time.
Operator: Thank you. Our next question is coming from the line of John Bejjani. Your line is now open. You may proceed with your question.
John Bejjani: Good morning guys. Paul, you mentioned extensive renovation at 1775 Eye, what's the scope and expected cost per foot on that?
Paul McDermott: Yes, I think – this is Tom, the I think that renovation was based into the acquisition that was finishing up when we took over and that’s really we were just wrapping that up. So we’re complete with that renovation but that was baked into the acquisition.
John Bejjani: Okay, on Silverline you guys mentioned , your asking rents are now high 30 per foot versus high 20s previously, can you just remind me how much of this square footage that applies to?
Paul McDermott: Yes, so we’re able to do, so that sort of price focused on the tower and but then when you add the acreage, we’ve got, some of that space is also benefiting from the renovation. We have low rents there as well probably has a $10 move but may be prior to $8 move, so across all the spaces they are able to release which, some of it has been released that was about, we were again in terms of analyzing that performance about 350,000 fee to total leasing, plus we had 200 and change to go. That is your question?
John Bejjani: Yes, yes, sure and I guess lastly, can you guys speak to the investment sales environment you’re seeing in suburban Maryland and Northern Virginia and how that compares versus say last year?
Thomas Bakke: Sure, I’ll give you that, just our internal pipeline specific John, because it is quite staggering and then does backstop what a number of you have written up about how competitive it is in Washington and how many investors do want to be here long-term. At the end of the first quarter of this year and this was across three asset classes, we underwrote and kind of evaluated the way we do 16 assets year-to-date as of March 31. For the same period last year, we had valuated 42 assets as of March 31, 2014. We're definitely not seeing as much products coming to the marketplace. I think the suburban assets you probably don’t have as many data points as you do downtown right now. Downtown really hungry for class A assets in Washington DC, the two bites of the apple were really the 1201K and, Franklin Tower 1401I street which is currently on the market. I think you are seeing some good activity in terms of broker opinions value in Northern Virginia, but I think a lot of these assets, quite frankly need stabilization and a better growth story with them. And we’re really not seeing John, a lot of trade for data points in suburban Maryland right now. I think there are assets clearly in Bethesda, but when I think suburban Maryland, I’m going out northern Bethesda up to Rockville, and [Indiscernible] corridor. We’re just not seeing that much product coming to the table right now probably because of the late market fundamentals.
John Bejjani: Great, thanks guys.
Thomas Bakke: Thanks, John.
Operator: Thank you. Our next question is coming from the line of John Guinee. Your line is now open. You may proceed with your question.
John Guinee: Okay guys, John Guinee here. Hi, just put a little more substance here and I’m fine Paul, but you don’t feel comfortable answering the question but, clearly like everybody else you want to get rid of the dogs and cats, open up the kennel doors and replace that with the core plus assets. And if I look at Rockville, about a million square feet if you just want higher sales that sell 50 or 150 bucks a square foot?
Paul McDermott: Well, the only data point John, I can give you for suburban Maryland right now is foreclosure on a note, on 100% empty building that was above your $50 low point. But think that any income reducing asset that we see, I candidly I can name two assets in our portfolio in suburban Maryland right now that are like see the numbers you just threw out on the table. The dogs and cats that you refer to right now, I agree that suburban Maryland definitely has its challenges, but let me give you a couple anecdotes I think that, we see happening out there. And I'll pick on our biggest hole right now it is was 6110 that was also moving out of our building. We’ve already got two leases, hopefully that we try to back fill some of that space, 6110 right now, we were in discussions we’ve got somebody over $200 a foot for that asset. For part two I think that one think that kind of went below the radar screen over the last 90 days was NIH was being fairly aggressive about signing all of their leases especially in North Bethesda and Rockville to an on campus type use where they would construct there. That has been both overruled by Congress, and Health & Human Services. So if we are looking for a bright spot in that submarket, and sometimes we are, that's a good piece of news for us. But I don’t see a need to rush product at the table. I think we’ve talked about in the past John that we can’t just wave a wand over an asset and say it is time to sell. I think our obligation to our shareholders is to create as much value as we can before we pass the baton off into the open market and some of our assets in Italy. Tom Bakke is doing a good job of making sure that they are in their best stabilized state and that all of our CapEx dollars that we are putting into taking the assets to sale of our accretive dollars being invested, but as Steve talked about earlier, we are looking at selling more assets. We are looking at trying to take advantage of the climate we’re in. But I really don’t see us herding the dogs and cats to the exit. I just don’t see that being in the best interest of our shareholders right now John.
John Guinee: How about the other end of the spectrum of high quality assets at a subfi cap? Do you consider a joint venture sale of sub portfolio is that sort of asset?
Paul McDermott: A subfi cap rate for portfolio sales…
John Guinee: Give some of your better…
Paul McDermott: I didn't hear the whole question, John. You cut out for a second.
John Guinee: I’m sorry – I’m sorry. Just the other side of the equation is similar to being steadier a while ago, when they pulled the portfolio [indiscernible] to sell a 40%, 45% interest of a portfolio and a product in low cap rate, is that on the table?
Paul McDermott: It’s not something that – when I consider something on the table, I think that we have live deal that someone has presented to us. I think that we're always opening to – always open to taking a look at various ways to monetize the portfolio and create value but we don’t have anything specific in mind. And nor have discuss anything that magnitude of order.
John Guinee: All right. Thank you very much.
Operator: Thank you, Mr. Guinee. [Operator Instructions] Our next question is coming from the line of Chris Lucas. Your line is now open. You may proceed with your question.
Christopher Lucas: Good morning guys. Just a couple of follow-up questions on some of the question that we've had already. On the Silverline leasing, Paul the 50,000 feet is that in the entire building of lease up, or is that specific to the tower?
Thomas Bakke: Hi Chris, Tom Bakke here. Did you, was the question about how much remained to be leased in what part of the project?
Christopher Lucas: No, I was just trying to understand what leasing has been done, the 50,000 square foot number that was referenced earlier is that specific to the tower or is that across the building?
Thomas Bakke: Yes we have done about I would say 30 in the tower and about 20 in the atrium and we have gotten – we just did another eight to that business in the numbers in the tower that is coming in.
Christopher Lucas: Okay.
Thomas Bakke: So we still got the majority of the space mainly will be leases in the tower and this is from the top down, so most of it we grew preserved the best space hopefully for the anchor deal that we are looking more.
Christopher Lucas: Okay great. And then just trying to understand as it relates to the acquisition pipeline is there anything that is under contract at this point?
Thomas Bakke: I would say that we have visibility on an opportunity that we are – as we are continuing to underwrite.
Christopher Lucas: Okay. And then I guess just thinking about how the Spring Valley asset sort of worked with the Country Club Towers, should we be thinking about your ability to acquire and then do reverse 1031s on something you’ll be selling or is that just sort of a unique circumstance that happened to work out with the Spring Valley and Country Club towers?
Stephen Riffee: Chris this is Steve. It’s a good way to also manage the dividend for the company. In that case it works up really well, sometimes when you sell order legacy assets and I think our tax gains there is clearly room in our dividend for some capital gains. But then you use various techniques to maintain your dividend one of which could be a 1031 exchange, and it could be a reverse like we did before. Other things that reached to in that situation is the cost aggregation studies, other techniques that we use. So it is a tool that we would consider appropriate again.
Christopher Lucas: Okay great, thank you.
Stephen Riffee: Okay thanks.
Operator: Thank you. Our next question is coming from the line of Dave Rodgers. Your now is now open. You may proceed with your question.
Dave Rodgers: Yes, hey Paul good morning. Quick question on the acquisition that you pass on in the first quarter and you gave some additional details that there might have been quite a few, but I guess for those transactions that you really went after pretty hard and you didn’t end up falling out of the bidding early for one reason or another. What ultimately do you think caused you to lose that, I mean price obviously is the big issue, but where do you think those deals traded in what asset classes were you really going after hard just to start the year?
Paul McDermott: Well, so first I'll say my apologies if I led you to believe that we actually bid on those assets. We have a three fast paced disciplined process here and I can give you some more of a color about what we see trading and what we have to pursue, but a lot of those assets we have an internal investment committee that you have to go through before you are even allowed to bid on an asset and none of those deals really made it out of committee. Candidly our portfolio manager didn’t recommend any of those transactions, but what I would say kind of across the board were asset price per pound be going in yield and what we felt was the ability to recognize kind of significant upside which is what we’re trying to embed in our value creation model. We didn’t see us really there. We thought that, I think most of the assets that we brought to the table had a discount to replacement cost element to them as well as some leasing opportunities. The assets that I’m referring to that we look at in the first quarter of this year, I think we are paying through the cash flows for the leasing opportunity, thus they were occupied. They traded at premiums to replacement cost and they were in submarkets that we thought we’re getting slightly long in the tooth in terms of upside potential. And that is for both office, multifamily and retail business.
Dave Rodgers: All right and it’s really helpful Paul, and to turn that around on the disposition side, obviously you’re pleased by Country Club Tower sale. Anything in the market, currently any particular assets, sounds like maybe Suburban Maryland office has been discussed recently, but I guess won anything out there in the market currently the volume that you’re looking at? And then the second part of that would be differential in cap rates between maybe multifamily or office depending on which one goes given where occupancy rates are?
Paul McDermott: Okay. Let’s start with anything currently after right now, the answer is no, we just closed Country Club Towers three weeks ago, very happy with that trade, that has definitely spurred us on to continue to recycle assets. We are getting BOVs [ph] on different asset classes, different assets in all three portfolios right now. And the one thing I can say without hesitation that from the time I came here today definitely seen movement on cap rates coming in and when everybody has always questioned when you start monetizing your legacy assets and talking about dilution, we think the cap rates have come in very nicely and we don’t see the diluted prospecting is bridged and so we’re trying methodically balance that and achieve a blended cap rate that we think able for our shareholders. I don’t have in terms of often give guidance, we will be continuing to some monetize asset throughout the year as Steve highlighted. I think from, what we’re trying to do is the value proposition for us is offering growth in the stock, and I think if we mentioned aside from the organic portfolio growth that we're pursuing right now we're working aggressively on Silverline, we're working aggressively on the Maxwell, we're working aggressively on leasing-up, the final space in 1775I street that we think is going to add anywhere between $0.19 and $0.24 when those assets stabilize. Additionally beside that, and the reason, keeps coming up should you be selling more of these suburban assets, quite frankly we think there are some pretty damn good renovation and redevelopment opportunities embedded in some of those assets in the portfolio may be on the surface to show might be little longer than too. But location and what’s happening around the assets in the respected submarkets, we’re pretty excited about. So we think we have an ability to harvest more by maybe not as much selling, but employing a renovation and redevelopment program. Plus we have some visibility on some other assets. We’ve been talking to owners on, over the past 12 to 18 months to create more external growth which dovetails with our strategic plans for growth in the portfolio.
Dave Rodgers: Alright, thanks Paul that’s helpful. Last question for Steve, welcome aboard, any chance to get the some of the expenses from the first quarter back as the year progresses through reimbursements or through or fighting some of the tax issues in DC?
Stephen Riffee: May be there was some opportunity in the taxes, unfortunately I think what we said is, our snow and utility expenses that was coming onboard, hit us right where it hurts. Some of these big box retail centers have fixed and very low recovery rates and that’s what we got just proportionally buy it, so the chances of recovering it there, in terms expense reimbursement is not really in the plans right now.
Dave Rodgers: It's not, its - another you got most of your reimbursement back already?
Stephen Riffee: Yes, and we didn’t change our office for multifamily same-store guidance by the way. If we feel that we have to recognize that you hit in the first quarter jus so you know.
Dave Rodgers: Yes, they heard that, alright great, thanks guys.
Operator: Thank you. Ladies and gentlemen at this time there are no further questions. Now I would like to turn the call back over to Mr. McDermott for final remarks.
Paul McDermott: Thank you. Again, I would like to thank everyone for your time today. We appreciate your interest in Washington REIT. I would also like to remind everyone on this call that despite current challenges; Washington DC remains one of the top real estate markets in the world and one that’s highly sought after for its defensiveness and liquidity. Today we are seeing start ups and technology companies create a new economy in Washington DC which has the most educated workforce and the second highest share of millennial as a percentage of overall population. As important, the Washington Metro region is seeing wrong momentum and job creation with many projections trending above long-term averages. We remain confident that this region will support our desired growth over the coming years. We continued to strengthen our portfolio, our people and our processes and are increasingly well positioned to capitalize on any improvement in regional, economic conditions. We look forward to updating you on our progress on the next call. Thank you every one.
Operator: Thank you. Ladies and gentlemen this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you very much for your participation and have a wonderful day.